Operator: Good morning. My name is Sharon, and I'll be your conference operator today. At this time, I would like to welcome everyone to Mogo's First Quarter 2018 Earnings Conference Call. I will now turn the call over to the company. You may begin your conference.
Craig Armitage: Thank you, Sharon, and good morning, everyone. We're glad you could join as for Mogo's First Quarter 2018 Conference Call. We're joined this morning by David Feller, Mogo's co-founder and CEO; and Greg Feller, President and CFO. After prepared remarks, we'll open up the call for questions. We will make forward-looking statements on our call today, statements that are based on current assumptions and subject to risks and uncertainties that could cause actual results to differ materially from those projected. We undertake no obligation to update these statements except as required by law. Information about these risks and uncertainties is included in our press release this morning, as well as in our filings with regulators in Canada and the United States. Also, our commentary today will include adjusted financial measures, which are non-IFRS measures. These should be considered as a supplement to and not a substitute for IFRS financial measures. Reconciliation between the two can be found in our presentation today, which is available on our website. And finally, note that all amounts discussed today are in Canadian dollars unless otherwise indicated. And again, I'd reiterate, we have a webcast available, so we will be using presentation slides today, and you can find that on our website. I'll now turn the call over to Dave Feller. Thank you.
David Feller: Thanks, Craig. Good morning, and welcome to Mogo's First Quarter 2018 Results Conference Call. I'm joined today by Greg Feller, President and CFO. It was an excellent first quarter for Mogo, which we think further validates not only the market opportunity, but our ability to attract and monetize new members. There are 3 main highlights that we want to focus on today: one, accelerating revenue growth in a massive financial service market that continues to move digital; two, we have a scalable platform and unique product offering that's resonating with millennials; and three, we've built a powerful business model with many ways to monetize and an increasing focus on subscription revenue. Q1 saw us deliver accelerated overall revenue grow, up from 14% to 27%, and our second consecutive record quarter. Our business is now on a run rate of close to $60 million in annual revenue. The biggest driver of this growth is subscription and services revenue, which grew 110% and now represents 35% of our revenue, that's now 5 quarters of consecutive growth of subscription and services, showcasing the traction we're getting in our monetizing members outside of loan revenue. Our market today is Canadian financial services, which is a massive market that is measured in the trillions. It's also a market, like many others, that is continuing to move digital, with millennials at the forefront. There are close to 10 million millennials in Canada, making them the largest segment of consumers, and importantly, increasingly, the biggest future of consumers of financial services. We are focused on making Mogo one of their go-to apps in their financial lives, and with more than 50% of our new member growth coming from this segment, we continue to see good traction here. It's still clearly early days, with lots of room for growth, both in terms of members and share of their wallets. As the shift to digital happens, one of the questions has always been, will consumers trust anyone outside of the banks. Besides the traction we're seeing, it's interesting to look at the U.S., as it's always been a few years ahead of us. As you can see, the top 4 finance apps in the U.S. are FinTechs, not banks. So far, in Canada, only Paypal's cracked the top 5, but we're confident that we're well on our way, and in fact, earlier this month, we were a size 14 in the Apple App Store. It's also interesting to note that one of the top 20 apps is there because of their free credit score monitoring. The bottom line is consumers, especially the younger generation, are hungry for a great value proposition and user experience, which like every other industry that has seen disruption, is always led by the new players. Underpinning our growth is the scalable technology platform and unique product offering. As the shift continues to digital and mobile, it's all about technology, software and building a great product. Our cloud-based platform is built on modern technology and gives us the ability to rapidly launch new product and constantly improve the experience, including adding new features. In fact, every 2 weeks, we release new features and new enhancements that are designed to improve the user experience and the value proposition. As an example of the power of the platform, our last 2 products went from idea to initial launch in under 3 months. We've been building out this platform over the last 5 years, and have invested over $100 million and continue to invest and further build out our competitive advantage and moat. Technology is important, but ultimately, our success comes down to great products. To achieve our goal of becoming the to-go app for millennials, we have to deliver a product and user experience that meets their expectations. It's our ongoing investment in building great product that is the main driver of revenue growth. Millennials don't want their parents' banking experience. They expect a well-designed engaging digital experience, whether that's for managing their music or their finances. They are also looking for new, innovative solutions they aren't getting from the banks, as there's a lot more to managing their financial lives than what the banks offer. Convenience matters a lot, and like most of us, millennials don't want 10 different apps to manage their financial life. Our growth is being driven by our value proposition of one app with an innovative set of product. Again, it's all about the app and that's by far the most relevant and convenient way for millennials to manage things. And today we are the only company in Canada giving them the ability to monitor their Equifax credit score for free through a mobile app. We are also the only consumer finance company in Canada that offers the ability to get and manage a loan through an app. Again, this generation values convenience, and being able to get a loan with the same app they use to manage your score and other things matters. The days of going to a branch to get a product like this are increasingly coming to an end. Similar to banks, we also offer mortgages. But as a broker, we offer the benefit of being able to deal with multiple lenders. And unlike other brokers, we also give you the ability to track your mortgage in the app along with the other products we offer. Mortgages continue to be a long-term opportunity, especially as millennials are considered the largest segment of future home buyers. As the world goes digital, and millennials are more active digitally than others, the need for protecting against identity fraud continues to increase. We are the only company in Canada offering an identity fraud solution in a mobile app for under $10 a month. Most competitors charge close to double what we're charging and without the convenience of the app. A big part of the convenience also comes from the fact that this is part of a broader set of solutions. Also increasingly important to millennials' financial health is controlling their spending, and trying to avoid getting into credit card debt, especially if they ever hope to pay for a down payment on a home. The MogoCard is not only free and no monthly fees, but is uniquely designed to control spending, including the innovative goal-setting feature that helps keep you on track to a specific spending goal. It's all about making it easier and engaging for our users to manage their financial health. Our newest product is MogoCrypto. There are a few unique things about the offering here, including being the only company to offer the ability to buy and sell without any funding or withdrawal fees and the first and only one that brings this into an app with other financial products. This is also another great example of a product that our members can't get from a bank, and highlights the other key advantage that comes with multiple products: We can charge lower fees as we have way more ways to monetize and aren't dependent on one product. From a design perspective, we also focus on making things very simple, and this can been seen with the buying experience of Bitcoin. A few simple steps with full transparency on the price you're buying at and the fee you pay. This is the kind of experience that millennials expect and gravitate towards. We believe there are millions of Canadians that want the experience -- to experience buying and owning Bitcoin, and we have now made this easier than ever and charging a fraction of the fees of the exchanges. All of these products give us a powerful business model, as we have many ways to monetize our members and drive a high lifetime value over a long period of time. Subscription revenue continues to be a key part of our revenue model, and one we are very focused on growing. Our business model is based around our value proposition. The more we improve our product offerings, features and value proposition, the more we attract new members and the more ways and opportunities to drive revenue; i.e., adding MogoCrypto to our app not only gives people another reason to get Mogo, but for those that are already members, makes it even more interesting and compelling. Every quarter we focus on improving this value proposition. Offering products for free, such as our free credit score monitoring, helps bring users in with a low hurdle and low friction. Once they have it and use it, it helps build trust and credibility and nurtures them over time, where they continue to increase slightly and to take up one of our other products. In fact, our biggest days for our other products are the days we notify our members of their credit score update. As we continue to optimize our experience, we continue to get better at increasing the conversion rates over time. We have many ways to monetize and drive revenue, but increasingly, we've been focusing on subscription revenue, i.e., monthly reoccurring revenue verses one-off fees. The subscription economy is increasingly popular with millennials, whether it's services like Spotify or Netflix. We see a similar model for financial services, giving users benefits and additional features for upgrading to a premium account for a monthly fee. For example, we've been testing premium account options that also include MogoProtect and seeing great success. In fact, today, we now have close to 20,000 active and paying Protect customers. Our goal is to continue testing many different scenarios to find that winning formula, and continue to expand it to all our members and within all our products. You can see some of the benefits and features we are testing and considering, and these tests also includes different price points to see which drives the most success. We are also looking at a premium account as a way to help drive attachment to our other products. The other important feature of our business model is efficient marketing at-scale through our Postmedia partnership. This not only gives us the ability to market our products to millions at a fraction of the rate of others, but it importantly helps us build a trusted financial brand, which takes time. This is the kind of brand building that is typically only available to much bigger brands and a clear competitive advantage to other startups. I'll now turn the call over to Greg for the financial review. Greg?
Greg Feller: Thanks, Dave, and good morning. It was an excellent quarter for Mogo in essentially all our key financial measures. We grew our member base to 604,000 members at quarter end, an increase of over 53% over the last year. We reported record revenue of $14.3 million in the quarter, up 27% year-over-year, driven primarily by growth in subscription services revenue, which more than doubled in the quarter. We also achieved positive adjusted EBITDA for the seventh consecutive quarter. And we exited the quarter in a strong financial position with almost $36 million of cash and $188 million in undrawn credit facilities. Growing our member base remains a strategic priority as it is a key signal of the acceptance of our solution and, ultimately, a driver of revenue. During the quarter, we saw accelerated member growth, driven by what we believe is one of the lowest customer acquisition costs in the industry. We surpassed 600,000 members and added our highest net member adds over the last 5 quarters, with 60,000 net member additions in the quarter. This is 25% higher than additions in Q1 2017. As Dave mentioned, we delivered record quarterly revenue in Q1 of $14.3 million, up 27% from the same quarter last year. Importantly, we saw revenue growth accelerate from 13% in Q4. This growth was achieved despite a continued decline in our legacy short-term loan fee business. Strategically, we've been shifting away from this product for some time and expect this shift to accelerate during 2018 as we continue to increase our focus on our core growth areas of subscription and services along with interest revenue. As we discussed on the last call, we're very focused in growing our high-margin subscription and services revenue. We've set a target of having 50% of our total revenue from this segment by year-end, and we continue to be on track to meet this goal. During the quarter, subscription and services revenue more than doubled to $5 million, and is also growing at an accelerated pace. This growth was primarily driven by an increase in subscription-related fees, including MogoProtect and our premium account option. We also had a modest contribution during the quarter from our previously announced Bitcoin mining initiative. This initiative, which is limited to 1,000 machines that are hosted and operated by our partner, DMG, is part of our broader investment around Blockchain. We continue to believe that Blockchain will have a profound impact on financial services, and will be a core part of any leading FinTech's platform. Our initiatives in this area are providing our team with a deeper understanding of this technology, as we learn how we can adapt it and use it to improve our products and services as well as increase efficiency. Excluding the impact of our legacy loan fees, the strong growth we saw in subscription and services revenue, along with continued growth in interest revenue, helped drive a 60% increase in our core growth areas to $10.4 million, up from $6.5 million in the compatible quarter in 2017. It's exciting to see this level of growth in our core products and it speaks to the significant transformation we've achieved in our business over the last year. This transformation is clearly highlighted by the shift in our revenue mix over the year. Specifically, this quarter last year, our subscription and services revenue was the smallest contributor to our overall revenue, while loan fees were the highest. This composition has completely changed, with subscription and services revenue almost equal to interest revenue this quarter but growing at over 3x the rate, while our loan fee revenue is now the smallest component. This clearly puts us well on track to hit our 50% of revenue threshold from subscription and services revenue by Q4 or potentially sooner. Gross profit increased 25% in the quarter, slightly slower than revenue growth, due to the impact of the adoption of IFRS 9 in the quarter. This resulted in an approximately 290-basis-point decrease to gross margin versus Q4. As a reminder, IFRS 9 has a non-cash impact. As we increase revenue and gross profit dollars, our model is clearly positioned to see benefits from operating leverage. But at the same time, we are starting to see significant traction across multiple products, with our subscription and services revenue having its fifth consecutive quarter of accelerating growth. And we continue to see multiple strong ROI opportunities for us to drive high growth, which is why we are investing in our platform and business. Specifically, our 2 core areas of investment are product development and marketing. This quarter, we expanded our technology team, so we now have 3 full product teams, which we believe will allow us to continue developing great products at an -- and an accelerated pace of new features to improve user experience. We also saw an increase from our investment in Blockchain-related initiatives. On the marketing side, you heard from Dave that we extended our unique partnership with Postmedia for an additional 2 years, which also included fixing our payments at around $500,000 per quarter. This allows us to continue to benefit from the significant brand spend that we get through them, as well as free up resources for other marketing channels as we continue to expand our member base and product portfolio. As it relates to our customer service and operations, we are investing a lot in our technology platform that will drive increased efficiencies in automation, such as our new digital loan platform that we are just starting to roll out and our installment loan product. This is a more efficient platform that allows more automation and self-serving by our customers and dramatically improves the overall user experience. In summary, we are focused on investments in our platform that not only improve overall user experience, but also help drive efficiencies in our operations which allow us to scale more efficiently. On the G&A side, we saw an increase this quarter due to our planned NASDAQ listing, but we expect this cost to level out in Q2 and position us for operating leverage in this expense category. In the first quarter, we delivered contribution of $5.4 million. Contribution, as you will recall, is the measure of the overall profitability of products in our platform. We also delivered a seventh consecutive positive adjusted EBITDA. EBITDA was essentially flat year-over-year and down versus Q4 as we've been ramping up our investment in technology and customer service. We continue to see strong credit performance, with charge-offs down significantly year-over-year to 13.7%, our second lowest rate ever. While we're demonstrating early success in monetizing our member base, we have a huge opportunity ahead of us. In Q1, our average revenue per member was $100 compared to the average credit union of $1,300. As we continue to add new products relevant to our member base, we believe we will see increased opportunity to monetize this base. At the same time, we remain focused on continued growth of our member base and achieving our target of 800,000 to 1 million members by year-end. In closing, we believe we've built a scalable platform with a unique suite of products that drive accelerating growth in a massive market. This, along with our innovative Postmedia marking partnership and powerful business model, uniquely position us within the Canadian FinTech ecosystem. We are very excited about the significant market opportunity ahead of us and look forward to continuing to drive our business forward. That concludes our formal remarks, and we'll now open it up to questions.
Operator: [Operator Instructions] Your first question comes from Nikhil Thadani with Mackie Research.
Nikhil Thadani: Guys, just a few quick questions from me here. It seems like you're focusing away from short-term loan fees. And as we look out to the back half of '18, how should we think about this sort of core fee-based and subscription revenue that you're thinking of driving in the back half of '18? What does that mean for the total top line? And what does that mean for the operating leverage?
Greg Feller: So, yes. So, Nikhil, thanks for the question. I think, we're continuing the trend that we've seen over the last several quarters, where we're moving away from the short term loan fee business. And as we mentioned, we think that's going to continue to accelerate, as we really spend most of our time focused on what we believe is really our core product areas, in both subscription and services revenues as well as our loan interest revenue. And as we talked about this quarter, we've seen accelerated revenue growth in those core areas to 60% year-over-year. So we're really focused on growing that business as the legacy loan fee business continues to decrease. And ultimately, we believe that, as we continue to grow that business, we're going to see operating leverage in the model. At this stage, right now, we're really balancing that demonstration of operating leverage with our investment in the platform. So those are levers that we absolutely can control. We can dial back investments if we want to start demonstrating more operating leverage sooner. But right now, given the strong growth we're seeing across our new products, we think this is the right time to invest in that. Obviously, it's a balance, and we will continue to strike that balance. We continue to, obviously, have positive EBITDA, and that's going to be a continued focus for us. But I think, right now, our bias is definitely towards growth, but ultimately, balancing that growth with demonstration of past profitability.
Nikhil Thadani: Right. And as we sort of look at proof points of that growth, then, is it reasonable for us to sort of benchmark progress on this core revenue metric, excluding the loan fees? Is that a reasonable way to gauge how you're progressing towards your goal?
Greg Feller: Yes. I think that is a reasonable way to look at it, and that's definitely how we're looking at the business internally and have been for quite a while. I think that's how we're gauging our success is our ability to grow that core -- those core products that we're focused on. Obviously, the other area within that is subscription and services revenue, which, as we talked about, is really the main driver of that growth. This quarter it grew over 3x faster than our interest revenue. So we're, obviously, continuing to focus on driving that high margin business as well.
Nikhil Thadani: Great. And then on the Crypto side, when is the sort of GA for that product expected to happen? And as that happens, how should we think about impacts to either membership or engagement with your platform for the rest of '18?
David Feller: So, it's Dave. We are still in the kind of invitation process right now on the crypto account. We are expecting to continue to be in an invitation mode probably for the next 2 months, probably all the way up until the end of June. And we expect that, starting in July, we're going to start really kind of ramping up the focus, including the ability for people to come right on and open the account immediately. So things are going to continue to incrementally grow on the Crypto side, with the real, I think, big growth we expect to come beginning in July.
Nikhil Thadani: Right. And what's the initial feedback, then? Because I got my invite, I think, a couple of weeks ago. And it seems like a fairly sort of fast and fluid process compared to some of the other platforms out there.
David Feller: Yes. Yes. I mean, I think, the initial feedback has been really good. Obviously, we do it in an invite because we can test the user experience, get the feedback. We're already making a bunch of improvements to the user experience, including adding new features. But I think what we're finding is a couple of things. One is, there is definitely a lack of trust and credibility out there in the space in terms of where are people going to -- if they're looking to buy Bitcoin, where are they going to buy it. Obviously, we have a certain level of trust and creditability of the Mogo brand versus -- almost all of these exchanges are brand new, and nobody's really ever heard of them. I would also say that the majority of the exchanges they're -- it's a quite complicated process to buy, plus they have a whole bunch of other kind of crypto currencies. So the fact that we're just really focusing on Bitcoin and we've really, obviously, focused on making that very simple. We also have a big advantage, I'd say, on the fees. People are surprised initially that there's no funding or withdrawal fee. And we're really the first one to be really transparent on the actual buy and sell fee as well, which is also small. It's a 1% fee. So I'd say initial feedback has been very good. And we're continuing to incorporate that feedback, make adjustments and really looking forward to the bigger launch in July.
Nikhil Thadani: Got it. And just one last one before I pass the line here. How should we think about the cash savings from the new sort of Postmedia extension?
Greg Feller: So, yes. So I think we see that as freeing up resources for us to invest in other areas. We're, obviously, very focused on top line growth here. So I think that, that cash savings is going to allow us to do a lot more things. Obviously, we think this quarter is a really important transition quarter for the company, because we think it's -- we're finally at a stage where we're really demonstrating the growth in our core business and overall top line. And we're very focused on continuing to demonstrate that growth going forward.
Operator: The next question comes from Doug Taylor with Canaccord Genuity.
Doug Taylor: The 20,000 MogoProtect subscribers already you mentioned is a very encouraging data point. Can you talk about the correlation between those customers and some of your other products? Is that correlated with -- have you observed a correlation with your credit products or more with some of your other products in your portfolio?
David Feller: Yes, it's Dave. So I think the way we look at this is that, as I mentioned, if you think about our kind of free offering, including the free credit score, that continues to bring in a lot of members with a relatively low hurdle rate, friction to open the account, build that trust, credibility. As I said on our free credit score update days, those are actually the biggest days of engagements that we see in the app. And increasingly that means people bumping into our other products. So I think that, that absolutely is part of the driver there in terms of the attachment from both free credit score to our other products, including Protect. I would say the other one, as I mentioned, that we're really focused on is continuing to test this, what we call this premium account option. And increasingly, the premium account option, we really see that as a way to, again, accelerate attachment to our other products. So for example, now we're talking about you upgrade, say, in the Crypto account, and not only do you get a discount of the Crypto fees, but you also get MogoProtect. You also get a discount on Mortgage, you get other features on the card. So we're definitely using that, and based on our kind of early results, we're definitely very encouraged by that. And that's why we continue to focus on that kind of premium account strategy. We see that as not only a great way to get people to opt into a monthly subscription fee, but increasingly, as a key way to drive conversion and attachment to our other products.
Doug Taylor: Yes, and that leads me to the next question. I mean, are you are able at this point to provide any metrics around the premium account attachment rate that we could -- so that we might be able to evaluate that? And then following on to that, can you give us an idea of when you expect to roll out that kind of premium account feature into some of your other products over the course of the next 12 months?
David Feller: Yes. I think, at this stage, you know, just -- we said we have close to 20,000 Protect. We have well over 10,000 premium account members today that are active and paying the monthly fee. So I think that's already starting to be material. And we expect that by the end of this year, that premium account will most likely be active in most of our other products, including credit score and Crypto. Crypto probably, and credit score, and Card are actually going to be our kind of initial target. So we hope that, again, by the end of the year, anybody that goes into the Card product can see the benefits of upgrading to our premium account. Anybody that's in the Crypto product can see the benefits of upgrading. And then the same thing in credit score. So if you go in credit score today, there's -- it just tells you -- it talks about credit score. And then if you look at Protect, Protect is really a separate product, so you actually have to go out of credit score and go into that product. The testing we've been doing is when somebody is actually in the credit score, try to get them to upgrade to the premium account, and as part of that, not only do they get more features around the credit score, but you get these additional benefits, like Protect, and that's where we're seeing the success.
Doug Taylor: So, this is great data, and I think this is really helpful. So I just want to dig into this a bit more. Over 10,000 premium accounts today. What proportion of your 604,000 would even have access to this? I just -- so I can get an idea of who...
David Feller: Yes. Right now, it's a small...
Greg Feller: Under 10%.
David Feller: Yes, under 10%. Under 10% have basically seen any sort of premium account option. And just to give you a sense, as Greg said, we are now, we've got 3 full product teams. Right now, our teams are focused on a, our MogoMoney digital loan experience, which we continue to evolve. Obviously, that continues to be an important part of the business going forward, also one that we expect to drive a lot of operational efficiency, right. And then Crypto, we're still rolling out the Crypto. We're actually working right now on a new feature within the Crypto account that makes it easy for people to track their average cost of their Bitcoin as well as their positive or negative in terms of their holdings. And so we've got some of these features right now that we're focusing on. And then, really, next up is starting to bring into that -- into those experiences the premium account.
Greg Feller: So Doug, this is Greg. So in fact, I might even be more specific and say it's mid-single-digit percent of our members that have probably seen access to a premium account.
Doug Taylor: So a pretty impressive attach rate, then. You've got some -- in your slide materials and presentations, you've talked to some of the other different products which you'd like to introduce into the Mogo ecosystem in the coming years. Do you want to talk to what, out of those products, be it life insurance or robo-advisers or otherwise, you think is next up? Or are you happy just to flesh out the product that you've got right now before moving and sinking your teeth into something else?
Greg Feller: Yes. Yes. I think that what you said at the end is where, really, where we're focused now. Obviously, our option now is do we launch other products or do we focus on optimizing within our existing product set. Obviously, this premium account is something that we're really focused on. So I would say generally, our view this year is instead of focusing on launching new products, we are very much focused on optimizing our current 6 products, including this premium account. We still, obviously, are early days in the Crypto, and we've got some things there that we're trying to do. Now, never say never. At the beginning of last year, identity fraud protection and Crypto weren't even on the road map, right. So we remain opportunistic to new opportunities. We can react relatively quickly. We went, again, on Protect, when we saw the hack at Equifax, we went from idea to execution in under 3 months. We did a similar thing on the Crypto account. And I think, again, that demonstrates just the power of the platform. But as we said, with the fact that only a small fraction of our existing members have even seen and bumped into a premium account option, we really want to get that one rolled out across the board before we start down adding on additional products. In terms of those additional products, robo-adviser, again, is another one that we think is a natural. Obviously, the Bitcoin, to a certain degree, falls into that category. It's more of a speculative, obviously, asset class, if you will. But also have the ability for somebody to do a robo-adviser. We're also looking at make -- giving people the ability within the Card to have, to do some sort of a cash back, and then that money can be converted and go automatically into Bitcoin or potentially some other investment vehicle. So, again, these are just some of the features within our existing product set that we see a lot of opportunity versus net new products.
Operator: [Operator Instructions] Your next question comes from Suthan Sukumar with Eight Capital.
Suthan Sukumar: The first question for you guys is on the extension of the Postmedia agreement. How does that influence your strategy and level of investment in sales and marketing over the course of the year? And also over the term of the newly extended time line?
Greg Feller: Thanks for the question, it's Greg. So I guess a couple of things. One is obviously, the Postmedia partnership has been a great partnership for us. It's given us a significant amount of brand exposure across Canada over the last couple of years. We've probably invested through that partnership upwards of $100 million in the Mogo brand. And I think that our brand is increasingly a recognized brand in Canada. We, obviously, have driving what we believe is one of the lowest customer acquisition costs in the industry with that. But as we continue to expand -- and the extension of the agreement basically allows extend it for an additional 2 years. Right now, the agreement ends at the end of this year, so it takes us to the end of 2020. And then we also agreed to fix our cash payments there, which, from our perspective, allows us to start considering other marketing channels as we grow the business. So obviously, we're going to be focused on managing that investment with the growth of top line as well. But it really does expand that opportunity set. And I think we're going continue -- you're going to continue to see the Mogo brand in other areas outside of Postmedia now. The -- just to add to that, I'd say, the other thing that we're talking about and looking increasingly at doing is a referral program. So as of today, we actually still don't have a referral program. So if you log into the app, there's no natural referral program to refer Mogo, let's say, refer Crypto account and get $5 and your friend get $5, or the same thing with the Card. So we see that very much on that marketing road map. And ultimately, that goes into the product road map. So there is -- what Postmedia enables us to do is it enables us to take a product like MogoCrypto, to take these other products, that ultimately is a real driver of growth, and actually get them in front of a wide audience. But the bottom line is the main growth continues to be driven from the platform and the product offering, right? At the end of the day, the other one just drives awareness. But ultimately, using the product and spreading the word is key.
Suthan Sukumar: Great. No, that's helpful. On MogoProtect, the 20,000 user metric is certainly impressive. I'm just kind of curious to know what the role of MogoProtect is playing in terms of customer acquisition? Are you guys seeing more uptake of MogoProtect from the existing base or from net new members to your platform?
Greg Feller: Yes. I would say the -- where we generally focus on Protect is actually more once they're in the ecosystem than initially going out there and marketing that. So we've put less emphasis on actually marketing the product externally and more emphasis on marketing it in -- once they kind of come into the ecosystem. That's, right now, where we're really finding the success. So again, as we talked about, that premium account offering is just a great example where the Protect solution, to a certain degree, is -- isn't -- for some people, is a little bit more complicated to understand than, say, free credit score. So that business model of bringing somebody in with something simple, including we see Crypto is going to do the same thing. For those people that are interested in trying -- and you can buy as little as $1 with the Bitcoin from Mogo, so just to experience that, bring them in, and then you have this natural way to nurture them into other products like Protect that maybe need a little bit more education and information, right. And again, as we said, if you think about that millennial cohort, that younger -- they're actually, in a lot of ways, more susceptible than others to identity fraud because they have way more of their information out there. And that, ultimately, is a big driver. So every time you hear a hack out there, increasingly, the more you've got profiles out there, the more at risk you are of identity fraud -- identity theft. And that, ultimately, is a precursor to identity fraud. So our view is as we show in there, the 25 million Canadians with a credit score, we believe every single Canadian today needs some form of identity fraud protection, and increasingly, really importantly, the millennials, especially if they're going to kind of make sure that they don't go off track on their financial health, position themselves to be able to buy a home, all of those things, that can impact that.
David Feller: I would just add that, that's really the model -- the premium model that they were seeing. If you looked in some of the best-in-class premium models out there, like Spotify, close to 2/3 of their premium paying customers come from customers that actually sign up for their free services. And we really see that as the future of financial services as well, and the future of our model.
Suthan Sukumar: Okay. Right. Great. My next question is on MogoCrypto. What type of user behavior or engagement are you seeing with your -- with this initial pool of users? I guess in terms of log-in activity, other types of product discovery or interaction, et cetera.
David Feller: Yes. So I think one of the things that's exciting about MogoCrypto is, of all the products we've ever launched, this actually has, by far, the highest activity within the app, in the account. So if you think about -- obviously, if you had a loan in the app, how often are you going to go in to check it? If you've got the credit score, you're checking once a month, right. Literally, if you go in and buy Bitcoin, you could easily be checking several times to maybe even up to a dozen plus times a day, right. So it really is a key driver of that activity within the app. And obviously, the more people engage within the app, the more likely they are to consider other products. So we really see this MogoCrypto and buying and selling Bitcoin as a really good kind of gateway into the Mogo ecosystem. Even if somebody doesn't become a material buyer of Bitcoin within that account, there is -- as we all know, Bitcoin is very topical. I generally believe there are literally tens of millions of Canadians that actually just want to experience buying Bitcoin. That's one of the ways you learn about it. And that's really what we're trying to do with -- whether or not they turn in to be a big trading, buying and selling of Bitcoin, that's actually less important. But, obviously, if it drives, a, people to the Mogo app and then constant engagement, that's obviously a win for us.
Suthan Sukumar: Okay, and I guess my last question here is on the Mogo -- the premium account. Has the plan changed any -- if any with respect to enabling upgrade paths for all the products? I think that your plan initially had spoken to what was, obviously, starting out with MogoCrypto first. I'm just kind of curious if there will be a phased approach to enabling these upgrade paths to some of the other products? Or will it be done across all your other products in one go?
David Feller: No. It'll be a phased approach, and quite frankly, I -- we can't, we're not -- it's not a certainty that Crypto is going to be the first. We are looking at credit score. We are looking at Card. And Crypto is one of those. So -- but at the end of the day, I mean, as we said before, we're doing releases every 2 weeks. The more we kind of narrow a focus of a product launch into feature launch, the faster we get that out there, obviously, the faster we can drive some results, just like we've been doing with the testing on the premium account. And I would say that's one of the big lessons that we've learned, instead of rushing to get a product out, we can -- we now have the ability to do a whole bunch of tests, right, within. And so although it may not be visible to everybody, we think that actually puts us in a much better position to find that winning formula a lot faster. You're also not out there overly marketing a product that you actually might have to change, both in terms of the features and the pricing and the user experience. So it really just is a more efficient, effective way to get to success. And obviously, with the numbers we're talking about, we are seeing material success. And I would actually say, interestingly enough, our premium account is by far our most successful, if you want to call it, product or feature ever. And yet it's a product or feature that we actually haven't gone out there and marketed. And I would say that really just shows you the benefit of this approach versus traditionally, we've got out there very quickly, get the product out there, and then test and iterate from there, right?
Operator: And at this time, I will turn the call over to the presenters.
David Feller: Okay. Thanks again for joining us on this quarter's call. We look forward to updating you after Q2. Thanks again.